Operator: Good morning. My name is Sergio, and I'll be your conference facilitator today. Welcome to Frontera Energy's Third Quarter 2025 Operating and Financial Results Conference Call. I would like to remind you that this conference call is being recorded today and is also available through an audio webcast on the company's website. Following the speakers remarks, there will be time for questions. Analysts and investors are reminded that any additional questions can be directed to Frontera following today's call at ir@fronteraenergy.ca. This call contains forward-looking statements, information within the meaning of applicable Canadian securities laws relating to activities, events or developments the company believes or expects will or may occur in the future. Forward-looking information reflects the current expectations, assumptions and beliefs of the company based on information currently available to it. Although the company believes the assumptions are reasonable, forward-looking information is not a guarantee of future performance. Forward-looking information is subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking information. The company's MD&A for the quarter ended September 30, 2025, and the company's annual information from dated March 10, 2025, and other documents it files from time to time with securities regulatory authorities describe the risks, uncertainties, material assumptions and other factors that could influence actual results. Any forward-looking information speaks only as of the date on which is made, and the company disclaims any intent or obligation to update any forward-looking information, except as required by law. I would now like to turn the call over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Mr. de Alba?
Gabriel de Alba: Thank you, Sergio, and good morning, everyone. Welcome to Frontera's Third Quarter 2025 Operating and Financial Results Conference Call. Joining me on the call are Orlando Cabrales, Frontera's CEO; and Rene Burgos, Frontera's CFO. Also available to answer questions at the end of the call, we have Alejandra Bonilla, General Counsel; Renata Campagnaro, VP, Marketing, Logistics and Business Sustainability; Ivan Arevalo, VP, Reservoir, Reserves and Operations; and Andrés Sarmiento, VP of Corporate Sustainability and People. Thank you for joining us. During the quarter, the company generated $86.6 million in operating EBITDA from continuing operations, generated adjusted infrastructure EBITDA of $30.4 million and $115 million in cash provided by operating activities, extended its crude oil hedges through the first half of 2026 and ended the quarter with a strong balance sheet, including $172.1 million of total cash. The company also declared a quarterly dividend of CAD 0.0625 per share or approximately $3.1 million in aggregate and has bought 385,200 shares through its noncourse issuer bid program year-to-date. Over the past 12 months, Frontera has distributed more than $112 million to shareholders through dividends and share repurchases, including $66.5 million paid to shareholders in the third quarter via substantial issuer bid, reducing shares outstanding by 14% since the end of 2024. Additionally, the company successfully repurchased over $80 million of its senior unsecured notes due 2028, reducing the balance outstanding to $314 million, demonstrating a strong commitment to returning capital to all stakeholders. In addition, Frontera is pleased to announce it has been approved to trade on the OTCQX Best Market that increases the company's visibility in the United States and reinforces Frontera's commitment to strong financial disclosure and corporate governance practices. Trading in the OTCQX enhances the company's access to broader U.S. investor base, including the U.S. retail market, offering shareholders improved liquidity and supporting long-term value creation. Trading began today under the ticker symbol FECCF. Notably, OTC market activity has represented over 30% of FEC's total share trading over the past 5 years, highlighting the relevance of the U.S. market to Frontera's investor community. Access to this highest tier of the U.S. OTC market further strengthens Frontera's ability to reach a broader investor base and enhance long-term value creation. In regards to Guyana, the government of Guyana through its council, communicated its willingness to participate in a final without prejudice meeting with Frontera and its partner, CGX Energy, to discuss the matters in dispute. The government proposed November 25 or December 2, 2026, as possible date for this meeting. While expressly reserving all rights, the joint venture remains open to engaging in good faith discussions with the government. I'd like now to turn the call over to Orlando Cabrales, Frontera's CEO; and Rene Burgos, Frontera's CFO, who will share their views on our third quarter results. Orlando?
Orlando Cabrales Segovia: Thank you, Gabriel. Good morning, everyone, and thank you for joining us for today's call. Let me open my remarks by underscoring the strategic significance of Frontera's decision to pursue the spin-off of the Colombian infrastructure business. Frontera has consistently drawn interest from investors and strategic parties who recognize the unique strengths and value propositions present in the upstream oil and gas and infrastructure businesses. While the upstream oil and gas and infrastructure businesses complement each other, each has its own operational profiles, life cycles and appeals to different investor groups. As part of Frontera's commitment to unlock shareholder value and enable future consolidation opportunities, the company has announced its intention to spin off its Colombian infrastructure business. The separation will create 2 focused independent companies, Frontera E&P and Frontera Infrastructure. Frontera considers the strategic separation an opportunity to surface value that is not currently reflected in Frontera's market capitalization. The separation will allow Frontera's distinct businesses to explore independent organic and inorganic opportunities and deliver superior returns for shareholders. The separation is expected to be completed during the first half of 2026 and will be subject to shareholder approval. Frontera's third quarter financial and operating results reflect the actions taken by our team to create value for stakeholders, maintain financial and operational flexibility and safeguard our strong balance sheet. Despite the price volatility, we are staying focused on what we can control. Continuous operational improvements and cost efficiencies, aiming to become a stronger and more resilient company. During the quarter, our production costs decreased by 5% compared to the previous quarter, mainly driven by the adoption of new field production technologies, ongoing optimization efforts, cost reduction in O&M contracts and digital process implementation. On the transportation side, costs have decreased by 1% quarter-over-quarter, resulting from optimized transportation routes and pipeline agreements, including the expiry of our long-term Take-or-Pay agreement Ocensa P-135. These improvements were partially offset by increasing energy costs as we process higher liquids volumes during the quarter. We have also simplified our corporate structure during the third quarter through a targeted reorganization initiative that will improve organizational and operational efficiencies, generating between $10 million and $15 million in expected savings in overhead going forward. I would like to thank our employees for their efforts and commitment to address the challenges during this year. In our Colombian operations, where we have seen our production decrease by 2% this quarter, mainly due to adverse weather conditions as well as related operational and logistical challenges, which have since been resolved. The 2025 rainy season has proven to be among the most severe in the past decade with rainfall significantly exceeding historical averages. With this in mind, we have revised slightly our 2025 annual Colombia production guidance to a range of 39,000 to 39,500 BOE per day. For the 9 months ending September 30, Frontera averaged 39,240 BOE per day of production, a 3% increase from the same period of 2024. We have also revised our 2025 capital expenditures guidance reducing the higher end by around $25 million to reflect the disciplined approach to capital spending and ability to identify ongoing operational efficiencies. On the exploration side, the high-impact Guapo-1 well at the VIM-1 block was spudded targeting natural gas and condensate with drilling expected to be completed by the end of the year. This well has the potential to significantly increase the company's natural gas reserves, including potentially providing much needed supply to the Colombian market in the short to medium term and helping to derisk nearby continued prospects. The company continues to make significant progress within its infrastructure business, which includes interest in ODL and Puerto Bahía, where together with its partner, GASCO, Puerto Bahía has reached final investment decision on the planned LPG project. The initial phase is scheduled for completion in the first half of 2026, aiming to address supply constraints in Colombia's domestic LPG market. The LPG project is expected to generate between $10 million and $50 million in yearly project EBITDA once it reaches its target capacity. We continue to see positive momentum in where ODL saw a strong quarter-over-quarter volumes and EBITDA growth, led by an increase in production associated with Ecopetrol's Caño Sur block. In Puerto Bahía, the ports operating EBITDA remained steady quarter-over-quarter despite lower liquids throughput volumes associated with our trader's exit from the country. The financial impact of the reduced liquids throughput volumes, however, was offset entirely by an increase in activity from our general cargo operations, which saw a strong growth in container volumes that exceeded 3,600 twenty-foot equivalent units TEUs in October. During the 9 months ending September, 11, 454 TEUs were handled at Puerto Bahía, representing a step fold increase compared to 306 TEUs handled during the same period in 2024, capturing volumes and supporting the growth opportunities in this market. Finally, in SAARA, the water management volumes are rising steadily, averaging about 157,000 barrels per day this quarter with a peak of 230,000 barrels of water per day. I would now like to turn the call over to Rene Burgos, Frontera's CFO.
Rene Diaz: Thank you, Orlando and Gabriel. And good morning, everyone. Thank you as always for your interest and support of the company. I'd like to take a moment to highlight a few key financial aspects of our quarterly results. For the third quarter, the company recorded net income from continuing operations of $28.2 million or $0.38 per share. Our operating EBITDA from continuing operations for the quarter was approximately $86.6 million compared to $73.5 million in the prior quarter. Although the pricing environment remains subdued, we have seen favorable Colombian crude oil differentials. We also had higher sales volumes during the quarter and saw a decrease on our production and transportation costs, highlighting our operational discipline. Turning to our key operational performance indicators. During the quarter, we saw average Brent sales prices at $68.17. Demand for our heavy crude barrels remained strong in the third quarter. We saw also average Vasconia differentials on export sales remaining under $2 at $1.82 for the quarter compared to $1.69 in the prior quarter. Our purchased crude net margin associated with our dilution and transportation programs was $2.70, lower than the $3.65 for the prior quarter as a result of improvement in our [ VIM-1 ] purchasing strategy. Reviewing our operating costs, our production, energy and transportation cost per barrel for the fourth quarter totaled $25.74. This compares to $25.45 for the prior quarter. The increase in quarter-over-quarter operating cost was related to our energy costs, resulting from higher fuel consumption from higher process production liquid volumes at our facilities. In our infrastructure business, adjusted infrastructure EBITDA for the quarter was $30.4 million. This compares to $20.1 million in the prior quarter. The quarter-over-quarter increase was mainly a result of higher revenues from the ODL business due to higher volumes transported to the pipeline. As of September 30, 2025, the company reported a total cash position of $172.1 million, including $158.6 million of unrestricted cash and cash equivalents. In the quarter, the company invested $50.9 million in capital expenditures, drilling 16 wells in the Quifa and CPE-6 blocks, paying $66.5 million to shareholders through a substantial issuer bid, receiving $14.7 million in insurance compensation for the Sabanero block and $18.5 million in cash dividends from the ODL investment. Turning now to risk management. Our current risk management strategy supports our operations and planning. Frontera uses derivative instruments to manage exposure to oil prices and FX volatility. On the oil side, the company has entered into structured hedges, successfully securing up to 40% hedging ratio until June 2026. Our strategy has ceiling between 63 and 65 Brent, particularly against a drop in oil prices with through the spread at a price drop of $55. Frontera has also covered 20% of the company's expected peso exposure until the end of 2025 with floors at over COP 4,200 level. These hedges provide the company with cash flow visibility and help mitigate impacts from future fluctuations by allowing us to deliver on our targets. I'd like to provide more details on our infrastructure business spin-off. The separation will create 2 independent companies with clear strategic priorities. Frontera E&P, our pure-play upstream oil and gas exploration and production company. Over the last 12 months, Frontera E&P generated stand-alone operating EBITDA of $336 million. With approximately $220 million in net debt, Frontera E&P has a net leverage of 0.7x. Frontera Infrastructure, comprised by our interest in ODL and Puerto Bahía will emerge as a leading energy infrastructure business, leveraging robust cash flows from ODL and aiming to invest in near-term future projects at Puerto Bahía to deliver a growing and long-term revenue stream. Over the last 12 months, Frontera Infrastructure generated infrastructure adjusted EBITDA of $117 million and infrastructure distributable cash flows of $75 million, which is comprised of Puerto Bahía's operating EBITDA plus ODL dividends and distributions received. With approximately $154 million in net debt, Frontera Infrastructure has a net leverage against infrastructure distributable cash flows of 2x. For additional information, please refer to our press release issued today, including a description of our non-IFRS measures described here. Before moving on, I'd like to highlight again that this quarter, Frontera qualified to trade on the OTCQX Best Market. This upgrade includes access for a broader U.S. investor base, including the U.S. retail market and provide shareholders with a more convenient trading optionality alongside our primary TSX listing. OTCQX is the highest tier of the U.S. OTC market and aligns well with the TSX disclosure and government standards. The platform offers U.S. investors real-time Level 2 quotes and streamlined access to our disclosures at otcmarkets.com, improved transparency and visibility for current and prospective shareholders. The enhanced trading structure should also support tighter bid offer spreads and more effective execution as U.S. investors transact to the brokers they already use, while providing greater visibility into meaningful U.S.-based ownership positions. The U.S. market has already been an important source of activity for Frontera with more than 30% of our commercial volume over the past 5 years trading on the OTC platform. The OTCQX qualification builds on the success in demand and provides a cost-effective way to buyer participation, increase visibility and strengthen long-term engagement with our shareholder base. As always, please feel free to reach out to us at ir@fronteraenergy.ca if you have any questions. I would like now to turn the call back to Orlando.
Orlando Cabrales Segovia: Thank you, Rene. Before I conclude today's call, I would like to highlight that the company continues to advance towards its 2028 sustainability goals as well as on the 2025 plan with progress made on almost every goal during the third quarter. On the sustainability front, in the third quarter of 2025, local suppliers accounted for 11.5% of total purchases, reflecting the ongoing commitment to local supportive economic development. Additionally, we maintained a strong performance in health and safety indicators, achieving a total recordable incident rate of 0.57 and also attaining a water reuse rate of 36% within our operational activities. In addition, Frontera achieved the level of excellence certified by Great Place to Work. I would like to congratulate Mr. Ivan Arevalo, who is assuming responsibility for Reservoir and Reserves; and Mr. Andrés Sarmiento, who transitioned to VP of Corporate Sustainability and People. These adjustments are aligned with Frontera's vision to enhance synergies, optimize processes and ensure a comprehensive approach to managing all aspects of our operations. With that, I would like to conclude by saying thank you to Gabriel and Rene for their comments, and thank you, everyone, for attending our call. I will now turn the call back to our operator.
Operator: [Operator Instructions] Your first question comes from Anne Milne from Bank of America.
Anne Milne: Thank you for all the information on the proposed spin-off. I was just -- I had a couple of questions on that front. Will these 2 new companies have completely independent management teams, which I assume they will. And at what point, I guess, it will be right afterwards, you will continue to provide financial information on the E&P section like you're doing the segment as you're doing right now? And then the second question is on the E&P segment. Could you give us at least some basic trends of what you're expecting for 2026? I know you probably can't give guidance, but maybe you have some general comments.
Orlando Cabrales Segovia: Let me start with the last one. We are working on the 2026 plan. We are expecting to announce that early next year. So that is the first thing. The second thing is that details around the separation of the 2 businesses will be provided in due time. But yes, you can expect that the management teams are going to be different as 2 separated companies. And the other one...
Rene Diaz: No, the last one, I think you should expect to continue to see the level of disclosure that we have. I think it's quite transparent to distinguish between one and the other. But we would appreciate any questions that anybody has, but we can continue to improve our transparency. But yes, you should continue to see the level of detail that can inform...
Operator: Your next question comes from Tom Klamka from Gramercy.
Tom Klamka: Can you confirm, it looks like in the press release, the capitalization of the 2 companies will essentially follow the existing capitalization, Frontera debt goes to Frontera and infrastructure goes to infrastructure? And is there any additional leveraging anticipated as part of this transaction?
Rene Diaz: That's terrific question, Tom. Thank you for joining the conference call. I think the press release tries to make it as clear as possible. Today, our $530 million of investments are going to be divided into the appropriate lines. As you may recall, most of our debt sits into 2 unique transactions, one being the FPI loan, which covers our infrastructure assets and the other being the Frontera senior notes, which are effectively part of the E&P business. So that should follow in that path. As to any incremental leverage and any additional details, like Orlando said, this will be provided in due time. I think what we can -- what you can add to this is that our plan is to have this completed before the end of the first half of 2026.
Tom Klamka: Okay. And then you show the debt service at infrastructure being about $56 million a year. I'm assuming most of that is amortization because the interest burden should be much lower, like, I don't know, 25, 30, something like that, correct?
Rene Diaz: Look, that's right, if you look at our indebtedness, our debt is around 10%, 10.5% for the FPI transaction. And you got to also remember that we have turbo amortization. So even when we do capture -- when we have cash from the dividends generated, all those dividends go to pay. So the best way to think about pay down the debt, sorry. The best way to think about it is that we keep cash, that cash from that -- from the ODL transactions are going to very quickly amortize. So yes, to your point, look, when we started the year, we started around $220 million in May when we closed the transaction, right? Now we're close to $202 million. And today, we're sitting in ODL at around $30-something million. So you should expect a very quick deleveraging by the end of the year in December with the cash flow sweep, we should see FPI at around $175 million to $180 million of debt.
Tom Klamka: Okay. And then just last question on the guidance changes. It looks like there's some production changes and you have some cost savings, but it looks like you're keeping your EBITDA guidance at the $270 million to $315 million at the lower Brent level, correct?
Orlando Cabrales Segovia: That is correct. Yes. We are keeping the EBITDA guidance.
Operator: Your next question comes from Oriana Covault from Balanz Capital.
Oriana Covault: I have a doubt in terms of the LPG and the gas -- the associated gas deployment that would be needed. So if you could share any additional color on timing and commissioning for the project? And since when should we expect to see this incremental EBITDA generation?
Rene Diaz: Oriana, can you repeat the question? I think you said -- let me try to repeat it. I think you said LPG project, you want to know the timing and when we're going to see the EBITDA generation, is that what you said?
Oriana Covault: Yes. Sorry, can you hear me better now?
Rene Diaz: Yes, that's better. That's better.
Oriana Covault: Okay. Perfect. So yes, in essence, I just want to understand better on the dynamics of this LPG project. How would be the natural gas deployment associated? And just kind of curious if this means that you'd be interested in perhaps pursuing any potential increase in natural gas and drilling more in that sense, that would be helpful to understand.
Orlando Cabrales Segovia: Yes, I think the -- I mean on the LPG project, we are working to -- on fast tracking the project via a first phase that we call our first phase, which is our ship-to-trucks mechanism that will come online in the first half of 2026. And this phase is to ensure we meet the market demand for LPG right now in the country prior to the construction of a permanent onshore refrigeration unit. That is expected to be online in 18 months 2027, sometime in 2027. When we announced this project, we are expecting an EBITDA range between $10 million and $50 million when we reach the maximum capacity of the project. That means when we build the refrigeration unit in 18 months. But that's for the project...
Operator: Your next question comes from Isabella Pacheco from Bank of America.
Isabella Pacheco: So my questions on the infrastructure were already answered, so I'll go to another front. After the Guyana impairment and your Ecuador exit, what are your plans to replace reserves? Are there any near-term drilling campaigns in Colombia that could materially impact 2026 production?
Orlando Cabrales Segovia: I mean we are permanently looking at our portfolio. And when there are opportunities to sell to buy, we will see those opportunities. So we are currently looking at the market. And if there are opportunities that make sense, either to buy or to sell, we will look for that. So that is something that we do constantly. Sorry one last thing is that the drilling of Guapo, the Guapo well is a high-impact well is an exploration well and that could bring additional reserves to the company going forward. And as you know, the gas market is needing that additional supply. So there is an opportunity there.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
Orlando Cabrales Segovia: Okay. Thank you, operator. Thank you, everyone, for attending today's call. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.